Operator: Ladies and gentlemen, good afternoon. At this time, I'd like to welcome everyone to QuickLogic Corporation's Third Quarter Fiscal 2023 Earnings Results Conference Call. As a reminder, today's call is being recorded for replay purposes through November 21, 2023. I would now like to turn the conference over to Ms. Alison Ziegler of Darrow Associates. Ms. Ziegler, please go ahead.
Alison Ziegler: Thank you, operator and thanks to all of you for joining us. Our speakers today are Brian Faith, President and Chief Executive Officer; and Elias Nader, Senior Vice President and Chief Financial Officer. As a reminder, some of the comments QuickLogic makes today are forward-looking statements that involve risks and uncertainties, including but not limited, to stated expectations relating to revenue from new and mature products, statements pertaining to QuickLogic's future performance, design activity and its ability to convert new design opportunities into production shipments, timing and market acceptance of its customers' products; schedule changes and production start dates that could impact the timing of shipments, the company's future evaluation systems, broadening the number of our ecosystem partners and expected results and financial expectations for revenue, gross margin, operating expenses, profitability and cash. Actual results or trends may differ materially from those discussed today. For more detailed discussions of the risks, uncertainties and assumptions that could result in those differences, please refer to the risk factors discussed in QuickLogic's most recently filed periodic reports with the SEC. QuickLogic assumes no obligation to update any forward-looking statements or information which speak as of the respective dates of any new information or future events. In today's call, we will be reporting non-GAAP financial measures. You may refer to the earnings release we issued today for a detailed reconciliation of our GAAP to non-GAAP results and other financial statements. We have also posted an updated financial table on our IR web page that provides current and historical non-GAAP data. Please note, QuickLogic uses its website, the company blog, corporate Twitter account, Facebook page and LinkedIn page as channels of distribution of information about its business. Such information may be deemed material information and QuickLogic may use these channels to comply with its disclosure obligations under Regulation FD. A copy of the prepared remarks made on today's call will be posted on QuickLogic's IR web page shortly after the conclusion of today's earnings call. I would now like to turn the call over to Brian. Go ahead, Brian.
Brian Faith: Thank you, Alison. Good afternoon, everyone and thank you all for joining our third quarter fiscal 2023 financial results conference call. Q3 revenue of $6.7 million exceeded the midpoint of our guidance, nearly doubling year-over-year and increasing 128% sequentially. This growth was driven by new product sales which increased by over 170% both sequentially and year-over-year. QuickLogic set a record for non-GAAP gross profit margin achieving 78% which exceeded the midpoint of the outlook we shared last quarter. Driven by strong gross profit and the inherent scalability of our business model, non-GAAP net income of $1.8 million was an all-time record for QuickLogic. Elias will share our outlook in a few minutes that projects will set another non-GAAP net profit record in Q4 which will drive positive full year earnings for fiscal 2023. The strategic transformation we initiated in 2020 has enabled us to fully leverage the proprietary IP assets that we have developed over the last 30 years and execute a highly scalable and profitable business model. When compared to 2020, we expect to grow full year 2023 revenue by over 144%, non-GAAP gross profit dollars by over 235% and with a 2% reduction in non-GAAP OpEx, improve our operating leverage by nearly 244%. The bottom line here is our strategic transformation is delivering strong results and I believe the best is yet to come. Now I'll take a few minutes to highlight the initiatives and contracts that are driving our growth and success. First, we have continued to grow our sales funnel to a record $162 million. Included in this number are deals for both the eFPGA IP as well as customer-specific device development that incorporates our eFPGA IP. These deals span numerous foundries, process technologies and end markets. In August, we were awarded the $15 million second phase of the strategic rad-hard FPGA contract that was initiated in 2022, bringing the total awarded so far to $22 million. The contract has the potential to extend through 2026 with a total potential value of $72 million. This second phase provided a significant contribution to our rebound in Q3 and expanded the scope of the contract to include a second foundry in addition to continuing our development efforts with our current foundry partner. In November 2022, I shared that we had taped out a new device for our customer that incorporates our eFPGA IP. Due to strict confidentiality requirements, I can't share more details on the specific design win. We are continuing to do development work with this customer and we are generating revenue from this design each quarter. We believe this customer could represent tens of millions of dollars of potential device revenues starting in a couple of years. As mentioned on our previous call, contributing to our sales funnel growth includes new government-focused eFPGA IP-based opportunities, targeting a 12-nanometer process node. Initial revenue from 1 contract began in Q1. Furthermore, we announced the availability of our eFPGA IP on the GLOBALFOUNDRIES 12LP process technology and we now have multiple new opportunities for this IP, totaling several million dollars. The new 12-nanometer eFPGA solution is ideal for a wide range of applications, including 5G infrastructure, automotive electronics, aerospace and defense, AI/ML acceleration and IoT devices. In late September, we announced that a leading technology company chose our eFPGA IP for GLOBALFOUNDRIES 22FDX platform. We expect to deliver on this initial program this year. In total, during this quarter, we expect to be in development with 5 different process technologies spanning 4 different foundries. This is only possible through the proprietary automation of the Australis IP generator which lets us create customized versions of our IP within 1 quarter from contract signing. Customers are increasingly seeing QuickLogic as the lowest risk path to a solution that meets their technical requirements, development schedule and target costs. The not-so-subtle point here is by lowering risk and shortening time to market, we save our customers' money and that provides us with a meaningful competitive advantage. We announced a partnership with Xiphera, a provider of hardware-based cryptographic security solutions to provide architects with a path towards securing their assets against the quantum threat, enabling them to stay one step ahead in the evolving landscape of cyber threats. With Xiphera's standards-based PQC IP, combined with the design flexibility of QuickLogic's eFPGA platform, solution designers can cost-effectively meet the rapidly evolving market demands for quantum resilience. Moving to chiplets. We recently announced a partnership with YorChip to develop low-power, low-cost UCIe FPGA chiplets optimized for edge IoT and AI/ML applications. This opens new possibilities for a wide range of applications. The first chiplets could be available in early 2025. Concerning our mobile phone business, our lead customer has digested most of their EOS S3 inventory and we expect a slight rebound starting this quarter. Furthermore, we have been informed that our EOS S3 will be used in new smartphone models that will ship into 2025. Finally, we are forecasting slight improvements in our display bridge and mature product segments for Q4 and for fiscal 2024. Moving to SensiML. The top-tier semiconductor company that has integrated a private label version of a sensible powered solution to address its customers' demand across its broad line of microcontrollers has officially launched. This private labeling of the SensiML toolkit provides significant revenue potential because of the company's large installed customer base and sales force. As I have noted in the past, this is not an exclusive relationship and we will continue to engage with other microcontroller companies. Before turning the call over to Elias, I'd like to share my perspective on the key differentiators that are driving our wins, growth and our profitability. QuickLogic has been developing proprietary FPGA IP and delivering high-volume commercial FPGA-based devices for 30 years. With this and our Australis IP generator that allows us to quickly target our customers' chosen foundry and fabrication node, we can lower customer risk and shorten time to market in addition to providing unique and proprietary IP. We can also engage with customers at any level from providing a simple IP license to supporting development efforts and even to fully managing everything from fabrication to finished goods through our storefront program. Together, these benefits set us apart from the competition and have enabled both our rapid growth and now profitability. With that, let me now turn the call over to Elias for a review of the financial results and I will rejoin for our closing remarks. Elias, please go ahead.
Elias Nader: Thank you, Brian and good afternoon, everyone. Our performance in Q3 was exceptional, with revenue more than doubling from last quarter, driving the business solidly into the black. As expected, our results benefited from higher eFPGA IP license and professional services revenue as the next phase of the large eFPGA contracts started up in the current quarter. Specifically, revenue in Q3 was $6.7 million, up 128% from the second quarter and up nearly 93% from the third quarter of 2022. Within our Q3 revenue, sales of new products were approximately $6.1 million. This compares to $2.2 million last quarter, up 173% and $2.3 million in the third quarter of 2022, up 171%. Mature product revenue was approximately $600,000 compared to $700,000 last quarter and $1.2 million in Q3 last year. Non-GAAP gross margin in Q3 was 78% compared with 44.2% in the second quarter of 2023 and 49.8% in the third quarter of 2022. The increase in gross margins from the second quarter resulted from the higher revenue level and a change in the mix of deliverables within eFPGA-related revenue to a higher percentage of professional services as well as continued cost controls. Non-GAAP operating expenses in Q3 2023 were approximately $3.3 million. The OpEx for Q3 was slightly above our forecast due to somewhat higher R&D activity given the timing of executing on the large revenue contracts later in the period. This compares with non-GAAP operating expenses of $2.9 million last quarter and $2.5 million in the third quarter a year ago. Non-GAAP net income was $1.8 million or $0.13 per share, a record. This compares to a non-GAAP net loss of $1.7 million or $0.12 per share last quarter and a non-GAAP net loss of $900,000 or $0.07 a share in the third quarter of fiscal 2022. Total cash at the end of Q3 was $18.6 million, compared with $19.2 million at year-end. In Q3 2023, we had 1 customer that accounted for 10% or more of our revenue. Now moving to our guidance for the fourth quarter and fiscal 2023 which will end on December 31, 2023. Revenue guidance for Q4 is approximately $7.4 million, plus or minus 10%. This will lead to revenue growth of approximately 30% for the full year of 2023. Fourth quarter revenue is expected to be comprised of approximately $6.6 million of new products and $800,000 of mature products. Based on this revenue mix, non-GAAP gross margin for the quarter is expected to be approximately 75%, plus or minus 5 percentage points. We will continue to see margin variances each quarter due to product mix and volatility in cost of goods sold. Our non-GAAP operating expenses will be approximately $3.5 million, plus or minus 10%. We believe OpEx will remain in the $3.5 million range with occasional increases to support new programs. Please keep in mind that given our industry, we may be required to reclassify certain expenses to COGS which is cost of goods sold, or capitalize certain costs at times. The reclassifications are primarily related to labor and tooling for revenue contracts with customers. Capitalization will reduce OpEx and also change the timing for recognizing the corresponding expenses in COGS. This may cause variability in our gross margins and operating results. After interest expense, other income and taxes, we currently forecast that our non-GAAP net income will be approximately $1.4 million to $2 million or $0.10 to $0.14 per share based on roughly 14.1 million shares. This will allow us to report profitability for the full year with non-GAAP net income of approximately $1 million to $1.6 million or $0.08 to $0.12 per share based on 13.7 million shares. The difference between our GAAP and non-GAAP results is related to noncash stock-based compensation expenses. In Q4, we expect this compensation will be approximately $800,000. As a reminder, there will be movements in our stock-based compensation during the year and we vary each quarter based on the timing of grants to employees. Moving to the balance sheet. Even with our continued investment to support the new design wins that we have discussed, including hiring critical engineering and sales roles, at the midpoint, we expect cash received to be below $1 million in Q4. These investments we are making are in anticipation of strong growth in 2024 and timed with the signing of new contracts for design wins. We are also on track to be cash flow positive for the full year of 2024. With that, thank you very much. And I'll turn the call over now to Brian for his closing remarks.
Brian Faith: Thank you, Elias. With record non-GAAP net profit, Q3 was clearly a historic quarter for QuickLogic and the stage is set for yet another new record this quarter. Since transitioning to a core IP business model over 3 years ago in 2020, we expect to grow total revenue by over 144%, gross profit dollars by over 235% and with a 2% reduction in non-GAAP OpEx, grow our operating leverage by over 244% in 2023. While I am very proud of what we've accomplished so far, what excites me is what lies ahead. The primary drivers for our growth over the last 3 years have been development contracts. Looking forward, we believe these will lead to production devices and new opportunities even beyond our sales funnel of $162 million. We believe these opportunities and others in our sites will fuel our continued growth in 2024 and beyond. While we will provide our full year outlook for 2024 during our year-end conference call, I believe we are well positioned to grow total revenue by over 30% and report very solid non-GAAP earnings per share with each quarter contributing to the profitability in 2024. Following the investments we are making during the second half of 2023 to support anticipated growth in 2024, we expect to generate positive cash flow for the full year 2024. With that, I want to extend my appreciation to the shareholders that have supported our vision and to the team that has enabled these accomplishments. It is a thrill to work with you all. That completes our prepared remarks. Operator, I would now like to open the call for questions.
Operator: [Operator Instructions] And our first question comes from the line of Richard Shannon with Craig-Hallum.
Richard Shannon: Congratulations on a profitable quarter. I'm sure it's a welcome relief and congratulations on all the hard work it takes to get to this point. I guess more of a technical question to start off here. Just looking at the fourth quarter guidance here, pretty close to what you talked about before which is great to see here. I just wanted to get a sense to the degree to which this large government contract is driving the growth or some other dynamics here within the new product sales that are driving that.
Brian Faith: Obviously, the large contract is a big percent of that revenue. But there are a couple of other ones that are materially contributing to the revenue growth in this quarter. I think in the prepared remarks, I alluded to us doing design on several different process technologies and several different fabs and most of those would be contributing to revenue in this quarter, some of which are new compared to last quarter. And then the mature products and the sensor products to our smartphone customers are kicking back up again compared to last quarter. So I guess the net of that is that all things are up this quarter, are forecasted to be up this quarter compared to last quarter. But the biggest revenue contributors clearly, government contract being number one. And then a couple of the other IP contracts that we alluded to contributing noteworthy to the revenue in the quarter.
Richard Shannon: Okay. And maybe to follow up on that last part there, Brian, a couple of the newer contracts. As an example, since you've called this out a couple of times in the last year, so this tape-out that you referred to a year ago with a customer you can't really tell us all about other than seeing an opportunity for tens of millions of dollars. Is that one of the contributors? And can you allude to what any of those other ones that are driving some of the increase here?
Brian Faith: That's definitely contributing, the one that was referred to earlier is the product we taped out for. So that was definitely contributing in the quarter on some development work. We had announced during the last quarter an IP win for a 22FDX IP core that is contributing in the quarter. And then we have some other smaller ones that are contributing as well that we think will contribute more meaningfully in 2024, even though we're doing some of the work for those in this quarter.
Richard Shannon: Maybe let's jump into the pipeline here. Obviously, a nice increase from 140 to 162. I think one of the interesting comments from last quarter was -- and I got one asked the same question here. So are there any parts of the pipeline that went into bookings here? So I kind of want to look at the gross adds of the pipeline here quarter-on-quarter.
Brian Faith: Yes. Gross adds to the pipeline, the majority of that add of the net increase which is just over $20 million, $22 million is coming from defense opportunities that are now in the funnel. The nondefense part of the funnel grew, let's say, about 10% net from last quarter. And then to get that factoring in the fact that the large government contracts, some of that flowed out from funnel into booked business when we booked that new contract in August. So that, again, a large net decreases are primarily defense and about 10% increase coming from the nondefense side of the business. Sorry, let me just add one more bit of color there. Most of that is IP-based opportunity but there are some device opportunities coming in for that, some of which on the defense side are coming from our antifuse business. We're one of only two companies that I'm aware of that have antifuse FPGAs and we are seeing some opportunity for those a new opportunity for those coming in. So it's good to see that. That's what gives us some of the optimism that the mature products for us will rebound back next year and beyond.
Richard Shannon: Okay. That's helpful, Brian. One thing I want to follow up with is and I probably missed the exact language you gave here but it sounds like related to in some manner to the large government contract, you have engaged with the second foundry. Can you help us understand what's going on there?
Brian Faith: I'm not really able to say much about the government contract for obvious reasons, other than in this new $15 million one that we are executing on now, we have added a second foundry to the mix from the first one, so we're currently designing for 2 different foundries. And hopefully, as press releases take time to approve, once they are approved and we can issue those, then we'll become a little bit more clear what that is exactly, where that second one is.
Richard Shannon: Okay. Fair enough. We'll look forward to that. Last question, I'll jump out of line here. Understanding you're going to give us some more specific guidance into your view for 2024 in the next conference call. You're talking about some growth of, I think, 30% year-on-year as well as being profitable each quarter here. Maybe if you can talk a little bit to the visibility that helps you make that comment so far that's somewhat atypical for -- well, I guess, you're not a hardware company as much anymore. But I'd love to get a sense of where that visibility and confidence is coming from and maybe let you make that comment, Brian?
Brian Faith: Yes. I think if we divide up the business between device and IP services, on the device side, the saying we're starting to see some improvement in the bookings and visibility of people recovering back from inventory digestion on our smartphone business and on the mature business, those are long-standing relationships with those customers. So I think we're getting some decent visibility from them to make a comment that we think next year will be up and so that will contribute. On the IP side, there's a mix of these development contracts and share IP licenses. And I think that the contracts tend to be multi-month, multi-quarter, sometimes even longer contracts. And so the more we're operating under these contracts, I think the better visibility we have to what follows beyond the current contract well into 2024. And then on the IP side, I think that the more customers we engage with, I wouldn't necessarily say it easier it gets but the more understanding we have on how the flow goes with the customer, how they make their decisions. We come in, I think, with more and more data that they need to see to make decisions. And so it's making the process more understandable, more forecastable by us. And we're just layering in so many of these into the sales funnel that it just increases our confidence that we're going to be able to grow 30% just because at the end of the day, a sales funnel is a numbers game, right? More numbers you have and more qualified opportunities, the more it's going to flow out the bottom into booked businesses. And so now that we're 3 years into this new business model, I think we're getting to handle about how those things move through. Not to a point where I can give you a number that says, "I need X in the funnel to generate Y 2 years from nonrevenue." But I think enough that we can directionally say we think next year will be another 30% growth here on the top line for us.
Operator: Our next question comes from the line of Rick Neaton with Rivershore Investment Research.
Rick Neaton: Congratulations, Brian and Elias, on a record quarter. It's been a long time coming. I wanted to ask you a little bit about the second aspect of the rad-hard contract. For several quarters, you've talked about the contract having the $72 million possible revenue flow by 2026. Does that number include revenue flow from the second foundry?
Brian Faith: Does the revenue flow through in the 72 million?
Rick Neaton: Does the $72 million just include SkyWater, who's your foundry partner? Or does it include more than SkyWater, the second foundry?
Brian Faith: It would include more than just the SkyWater foundry which was the first foundry that we announced back in August of last year.
Rick Neaton: Okay. I just wanted to get a better understanding of that, whether SkyWater only was part of the $72 million possibility. Okay. And that dovetails into whatever has been said at its conference call. Secondly, so what you're saying with your smartphone customer is you now have an extra year of visibility into one more year of design-ins of QuickLogic products into that company's smartphone family. Is that what you're saying?
Brian Faith: We do. We have meetings with them about once a quarter at the management level for planning and visibility purposes. And the net of that is, yes, we see the horizon pushing into 2025 now for when we'll be continuing to ship EOS S3 devices. And I think the other aspect of that, like I said earlier, is just that we were seeing their inventory that they took on earlier in the year being digested to the point where we're seeing increased backlog and shipments for this quarter over last quarter. So I think we sort of turned the corner on their inventory digestion, so we can project into 2024 to be a bigger year revenue perspective-wise for smartphones for us than 2023.
Rick Neaton: Okay. In terms of the sales funnel and the quantification of the $162 million, does that include any expected product sales from storefronts in the future from your storefront operations? Or are you just talking basically eFPGA IP license and royalties in that funnel?
Brian Faith: So on the commercial side of the funnel, there are some device opportunities in there that we would be under the storefront but it's -- I would say it's not the lion's share of that. And that would still be within sort of this 2-year horizon that we have on the sales funnel. It does not include anything from like a defense storefront perspective because frankly, if I added that number to it, you would probably say, Brian, you're crazy, you can't say your funnels $500 million now. So we're keeping those things out of it for now. And any device storefront is related to either the mature antifuse devices that we can sell immediately off of inventory or some of the commercial device business we have on EOS and that's any of the defense storefront stuff that's more than a couple of years out is not included in that number for the reasons I just stated.
Rick Neaton: Okay. So you're not -- we shouldn't expect defense storefront revenues before 2026, then I would assume based on...
Brian Faith: Yes and no. So if it's defense storefront for devices that are getting designed today like this government contract, then I agree with you, we're not going to sell devices until the contract is done from a development perspective and we said that, that's like 2026 onward. If it's defense storefront for, again, standard products that we have today or those types of devices, then yes, it could happen before that because we already have devices, we're not designing it. We're just designing them in which is a very different task for the customer.
Operator: Thank you. Ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the call back to management for closing remarks.
Brian Faith: I want to thank you all for participating in today's call and for your continued support. We look forward to speaking when we report our fourth quarter fiscal 2022 results in late February or at some of the conferences we are attending over the next few months, including in person at the Craig-Hallum Alpha Select Conference which is being held on November 15, 2023 and November 16, 2023 [ph]. On December 11, 2023, we will be at the virtual Oppenheimer 5G Conference and the Needham Conference in early January 2024. Thanks again and have a great day. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.